Operator: Thank you for standing by. This is the conference operator. Welcome to the K92’s[Author ID1: at Wed Nov 18 01:07:00 2020 ] Third Quarter 2020 Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, [Author ID1: at Wed Nov 18 01:07:00 2020 ]there will be an opportunity to ask questions. [Author ID1: at Wed Nov 18 01:08:00 2020 ][Operator Instructions] I would now like to turn the conference over to David Medilek, Vice President, Business Development and Investor Relations. Please go ahead.
David Medilek: Thank you, operator,[Author ID1: at Wed Nov 18 01:08:00 2020 ] and thanks,[Author ID1: at Wed Nov 18 01:08:00 2020 ] everyone,[Author ID1: at Wed Nov 18 01:08:00 2020 ] for attending K92 Mining's third quarter 2020 conference call. We hope you and your families are doing well. In addition to myself, we have on the line John Lewins, Chief Executive Officer and Director; and Justin Blanchet, Chief Financial Officer. I would also like to remind everyone that after the remarks from management, the call will be followed by a Q&A session. As we will be making forward-looking statements during the call, please refer to the cautionary notes and risk disclosure in our MD&A. Also,[Author ID1: at Wed Nov 18 01:11:00 2020 ] please bear in mind that all dollar amounts mentioned in the conference call are in United States dollars unless otherwise noted. Now, I'll turn it over to John to provide you with an overview.
John Lewins: Okay. Thanks, David,[Author ID1: at Wed Nov 18 01:11:00 2020 ] and welcome,[Author ID1: at Wed Nov 18 01:11:00 2020 ] everyone. So the third quarter once again really represents another step forward for K92. Completing our Stage 2 plant expansion, commissioning to basically double our throughput from 550 tonnes per day or 200,000 tonnes per annum to 1,100 tonnes per day or 400,000 tonnes per annum,[Author ID1: at Wed Nov 18 01:12:00 2020 ] in addition to significant progress on exploration in [Author ID1: at Wed Nov 18 01:12:00 2020  ]and[Author ID1: at Wed Nov 18 01:12:00 2020 ] [Author ID1: at Wed Nov 18 01:12:00 2020 ]a number of other project areas. So if I start first of all with safety. Third quarter no lost-time injuries and we’ve only had one lost-time injury since start of operations in 2017. So we continue to operate with one of the best safety records in the Australasian[Author ID1: at Wed Nov 18 01:13:00 2020  ] Region [Author ID1: at Wed Nov 18 01:13:00 2020  ]r[Author ID1: at Wed Nov 18 01:13:00 2020 ]egion [Author ID1: at Wed Nov 18 01:13:00 2020 ]and we continue to have a very, very strong focus on that area of [Author ID1: at Wed Nov 18 01:13:00 2020 ]occupational health and safety. On the production front, we delivered 22,261 ounces of gold equivalent and combined[Author ID1: at Wed Nov 18 01:14:00 2020 ] that with a record mill throughput of 64,702 tonnes processed. If [Author ID1: at Wed Nov 18 01:14:00 2020 ]W[Author ID1: at Wed Nov 18 01:14:00 2020  ]w[Author ID1: at Wed Nov 18 01:14:00 2020 ]e compare that to Q3 2019, gold equivalent production was up approximately 16% of throughput over doubled, an increase of 102%. Also important to note that part of the quarter, our [Author ID1: at Wed Nov 18 01:15:00 2020 ]head grades were actually kept deliberately lower to mitigate any gold losses during the commissioning of that expansion. Overall, plant commissioning has performed well. We've seen positive in terms of the ultimate plant throughput, but we have actually been able to achieve over 1,200 tonnes per day on a number of consecutive days, which is obviously notably higher than the designed throughput of 1,10[Author ID1: at Wed Nov 18 01:15:00 2020 ]0 [Author ID1: at Wed Nov 18 01:16:00 2020 ][indiscernible][Author ID1: at Wed Nov 18 01:16:00 2020  ] tonnes per day. On the mining front, long hole stoping continues to perform to design on both K1 and K2 veins. And this year,[Author ID1: at Wed Nov 18 01:16:00 2020 ] a major focus has been on expanding the number of operating levels that we have from the mine to expand throughput. I'm pleased to say having just returned from site, in fact,[Author ID1: at Wed Nov 18 01:16:00 2020 ] that we've now got seven operating levels, eight level being opened up. The incline continuing to go up towards the 1,285 level and the decline going down to the 1,130 level. We have also started production from our largest stope [ph][Author ID1: at Wed Nov 18 01:17:00 2020  ] today, which will provide the base production for the balance of the year. So as a result of the completion of Stage 2 plant commissioning and the multiple production fronts opened up underground, we're really looking for this fourth quarter to be the strongest of the year and therefore all [Author ID1: at Wed Nov 18 01:17:00 2020  ]of[Author ID1: at Wed Nov 18 01:17:00 2020 ] [Author ID1: at Wed Nov 18 01:17:00 2020 ]mine to date. I’d[Author ID1: at Wed Nov 18 01:18:00 2020 ] would[Author ID1: at Wed Nov 18 01:18:00 2020  ] now like to turn over the call to our Chief Financial Officer, Justin Blanchet, to discuss our financial results for the third quarter. Justin, over to you.
Justin Blanchet: Thank you, John, and hello, everyone. Our Q3 2020 revenue increased by 70% to $35.6 million compared to $21 million in Q3 2019. The increase in revenue was attributable to an increase in the realized selling gold price of $1,815 per ounce as compared to $1,409 per ounce in the prior year, as well as increased production. As of September 30, 2020, there are 5,859 ounces of gold in concentrate inventory. Inventories increased by 2,420 ounces of gold during the quarter, as we had a strong finish to the quarter after commissioning was completed in September. These ounces were subsequently sold in October. Cost of sales was $15.9 million for the quarter,[Author ID1: at Wed Nov 18 01:19:00 2020 ] and[Author ID1: at Wed Nov 18 01:19:00 2020  ] increased[Author ID1: at Wed Nov 18 01:19:00 2020  ] at [Author ID1: at Wed Nov 18 01:19:00 2020  ]of [Author ID1: at Wed Nov 18 01:19:00 2020 ]30% compared to the third quarter of 2019. This was primarily due to increased operational activity, including the commissioning of the Stage 2 plant expansion. In addition, the company incurred costs related to the COVID-19 pandemic, including additional pay for employees completing longer rosters at site, additional costs related to the movement of personnel and supplies and safety and medical [Author ID1: at Wed Nov 18 01:20:00 2020  ]medical[Author ID1: at Wed Nov 18 01:20:00 2020 ]-[Author ID1: at Wed Nov 18 01:20:00 2020 ]related costs. Cash flow from operating activities for Q3 2020 was $12.8 million compared to negative $2.6 million in Q3 2019. As of September 30th[Author ID1: at Wed Nov 18 01:20:00 2020  ], we had a $41.2 million cash balance, our highest balance on record, which includes making corporate tax installment payments in Papua New Guinea of a little over $5 million, paying $6.4 million year-to-date and [Author ID1: at Wed Nov 18 01:20:00 2020  ]in[Author ID1: at Wed Nov 18 01:20:00 2020 ] [Author ID1: at Wed Nov 18 01:20:00 2020 ]principal loan payments to Trafigura, having a remaining balance of $7 million as a September 30,[Author ID1: at Wed Nov 18 01:21:00 2020 ]th [Author ID1: at Wed Nov 18 01:20:00 2020  ]and spending $15.3 million year-to-date in expansion capital. As John mentioned, in Q3 2020, the Kainantu Gold operations produced 21,298 ounces of gold, 488,020 pounds of copper and 7,127 ounces of silver. During the same period, we sold 19,265 ounces of gold, 487,087 pounds of copper and 7,166 ounces of silver. We incurred cash costs of $695 per ounce, and an all-in sustaining cost of $834 per ounce, which was significantly below our realized gold selling price of 1,815 per ounce for the quarter. In comparison, 18,636 ounces of gold, 209,287 pounds of copper and 5,284 ounces of silver were produced and 15,562 ounces of gold, 181,422 pounds of copper and 4,847 ounces of silver were sold in Q3 2019. A cash cost of $649 and an all-in sustaining costs[Author ID1: at Wed Nov 18 01:22:00 2020  ] of $800 per ounce were also well below the Q3 2019 realized selling price of 1,409 per gold ounce. Our 2020 cash costs per ounce increased relative to the prior year due to deliberately lower feed grades to minimize potential gold losses during the commissioning of the Stage 2 plant expansion, as well as additional costs incurred related to COVID-19 pandemic and higher labor costs associated with the plant expansion. We see downward pressure on the costs via economies of scales following the successful commissioning of the Stage 2 mill expansion and continued expansion of long hole stoping activities. I will now turn the call back to John to continue with the rest of the presentation.
John Lewins: Okay. Thanks, Justin. If we move on and look at on the exploration front, we are, I think,[Author ID1: at Wed Nov 18 01:23:00 2020 ] quite obviously very pleased with the progress today. Recent results reported from three separate near-mine infrastructure vein systems, Kora, Judd, Karempe. If we look at Kora, late August we announced results consisting of both the infill drilling and step [Author ID1: at Wed Nov 18 01:24:00 2020  ]step[Author ID1: at Wed Nov 18 01:24:00 2020 ]-[Author ID1: at Wed Nov 18 01:24:00 2020 ]out drilling to the South[Author ID1: at Wed Nov 18 01:24:00 2020  ]for the site[Author ID1: at Wed Nov 18 01:24:00 2020 ]. First hole [Author ID1: at Wed Nov 18 01:25:00 2020  ]of all, we[Author ID1: at Wed Nov 18 01:25:00 2020 ] [Author ID1: at Wed Nov 18 01:25:00 2020 ]reported from the southernmost drill cutting[Author ID1: at Wed Nov 18 01:25:00 2020  ]cuddy,[Author ID1: at Wed Nov 18 01:25:00 2020 ] which we only opened up in Q2,[Author ID1: at Wed Nov 18 01:25:00 2020 ] demonstrated the system basically continues alongside, which I have to say was pretty much what we expected and recorded 9 meters at 10.2-gram per tonne gold equivalent. Other results that we reported that point in time included 4.3 meters at 113.8-gram per tonne gold equivalent. And our exploration development drive for the side has now extended beyond the mining lease and we're putting in a drill cutting, which will actually be in our exploration area. So we will be drilling core sites. And in fact, we already have, I think, a whole [indiscernible], which is outside of our mining release. On Judd, the announcement was made in early September, and then again in mid-November. They were the first ever done by K92. And Judd vein system really has had very limited historical exploration. It's got a strike length of over 2.5 kilometers up to 4 million veins and it's sub parallel to Kora and approximately 200 meters to the Southeast -- Southwest, sorry. And generally only 50 to 100 meters from our main infrastructure underground. In early September, ventilation infrastructure drive was developed along the Judd J1 Vein as we call it. And that was done to provide a more detailed evaluation in terms of both grade continuity and the geotechnical conditions of that vein. Preliminary results estimated that we had taken 6,200 tonnes at 5.5-gram per tonne gold equivalent, average thickness 3.4 meters. Now that we're not putting it as a bulk sample and putting it through the plant. In fact, we have already completed that work and we'll be reporting it in the near future. And I think it'd be fair to sailing. We're happy with what we've seen come out of that. Technically the vein was shown to be very calm. So overall very, very happy with. Importantly, I think mineralization encountered from bulk sample very similar to Kora and that really with the continuity in the grades that we saw really drove us towards putting two of our rigs actually commence a systematic -- an initial systematic exploration program from underground. Mid-November we announced the first four holes from that Phase 1 program, as we call it. Three of the holes intersecting high-grade mineralization. Highlight was JDD006, 7.25 meters at 258-gram per tonne gold equivalent and hole JDD003 open 5 meters at 22.4-gram per tonne gold equivalent. Mineralization intersected was similar to that, which we've seen in the bulk sampling and also Kora. It's obviously still very much early days, but the results are certainly very exciting. And we got additional work planned for Judd, and so we will be enhancing our knowledge of Judd continuity size, grade potential, et cetera, et cetera, through exploration in the coming quarter and in the new year. Karempe, late October, we announced our maiden drill results from the vein system reporting six holes. Like Judd, Karempe runs parallel to Kora and the vein system is being mapped for about 2 kilometers and has very little exploration on it. Now that vein is actually to the North -- to the Northwest and about 400 meters away. It's also recorded in multiple intersections, sub parallel veins, the highlight being what we've quoted as KA1 vein, which one hole came up with 2.45 meters at a bit over 40-gram per tonne gold equivalent, and then approximately 100 meters down dip from that 3.2 meters at 18.3-gram per tonne in one of the other holes gold equivalent. Again, mineralization encountered very similar to Kora. So results on both Karempe and Judd I've got -- I can only term as excitement, highlight the significant near-mine exploration upside potential of Kainantu. We've basically evaluated something like 20% of the vein field strikes so far with the work we've done.[Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 01:28:00 2020 ]  [Author ID1: at Wed Nov 18 01:28:00 2020  ]So we've got an enormous amount of upside potential, which is still to be drilled with all veins remaining open at depth and open to the size. Over the coming months, we plan to assess the impact of our exploration results carefully. In terms of the throughput potential, we're looking for Stage 3 expansion and the potential for a Stage 4, who knows maybe a Stage 5. And so as a result we continue to increase the number of drill rigs we've got on site. We're currently running four rigs underground, a fifth rig is due this week, and so should be drilling by the end of the month. And we've actually got a sixth rig to arrive in the first quarter of next year underground. [Author ID1: at Wed Nov 18 01:28:00 2020  ][Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 01:28:00 2020 ] So that takes us to currently five rigs on the surface, four rigs underground, five rigs by the end of the month, six rigs, a total of 11 rigs by the first quarter. And I can assure you our exploration people believe that they could actually use a few more. So we're having a look at that in our budget for 2021. And of course, I'd remind everyone that our exploration production growth is also funded and we continue to bolster our balance sheet. So with that, operator, I'd be happy to commence the Q&A session.
Varun Arora: Hi, John,[Author ID1: at Wed Nov 18 01:30:00 2020 ].[Author ID1: at Wed Nov 18 01:30:00 2020  ] Congratulations [Author ID1: at Wed Nov 18 01:30:00 2020  ]c[Author ID1: at Wed Nov 18 01:30:00 2020 ]ongratulations [Author ID1: at Wed Nov 18 01:30:00 2020 ]to you and the team on continued execution, particularly on the cost front, despite the lower grades during the quarter. I have a couple of questions. I guess,[Author ID1: at Wed Nov 18 01:30:00 2020 ] I'll start with the gold sales. I noticed they were a bit lower as compared to the previous quarters. Could you talk about what happened during this quarter regarding the gold sales?
John Lewins: Okay. So, I mean, basically,[Author ID1: at Wed Nov 18 01:31:00 2020 ] as was mentioned by Justin and myself in my talk, we were commissioning during the third quarter -- commissioning the plant. What that meant was we deliberately put lower grades through the plant, first [Author ID1: at Wed Nov 18 01:32:00 2020  ]first[Author ID1: at Wed Nov 18 01:32:00 2020 ]-[Author ID1: at Wed Nov 18 01:32:00 2020 ]half,[Author ID1: at Wed Nov 18 01:32:00 2020 ] the [Author ID1: at Wed Nov 18 01:32:00 2020  ]a good [Author ID1: at Wed Nov 18 01:32:00 2020 ]portion of the quarter to make sure that in commissioning,[Author ID1: at Wed Nov 18 01:32:00 2020 ] where you always get a few issues,[Author ID1: at Wed Nov 18 01:32:00 2020 ].[Author ID1: at Wed Nov 18 01:32:00 2020  ] W[Author ID1: at Wed Nov 18 01:32:00 2020  ]w[Author ID1: at Wed Nov 18 01:32:00 2020 ]e didn't want to be putting high [Author ID1: at Wed Nov 18 01:33:00 2020  ]high[Author ID1: at Wed Nov 18 01:33:00 2020 ]-[Author ID1: at Wed Nov 18 01:33:00 2020 ]grade through the plant while we are commissioning the expansion and leasable [ph]. [Author ID1: at Wed Nov 18 01:33:00 2020  ][Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 01:33:00 2020 ] So we had higher grades towards the tail end of the period and we had a lot of high [Author ID1: at Wed Nov 18 01:33:00 2020  ]high[Author ID1: at Wed Nov 18 01:33:00 2020 ]-[Author ID1: at Wed Nov 18 01:33:00 2020 ]grade right towards that end. That’s[Author ID1: at Wed Nov 18 01:34:00 2020 ] high [Author ID1: at Wed Nov 18 01:33:00 2020  ]high[Author ID1: at Wed Nov 18 01:33:00 2020 ]-[Author ID1: at Wed Nov 18 01:33:00 2020 ]grade production, especially in the latter half of September, would then basically what [Author ID1: at Wed Nov 18 01:34:00 2020  ]not[Author ID1: at Wed Nov 18 01:34:00 2020 ] [Author ID1: at Wed Nov 18 01:34:00 2020 ]be [Author ID1: at Wed Nov 18 01:34:00 2020 ]we [Author ID1: at Wed Nov 18 01:34:00 2020  ]sold until October. And I think Justin made comment on that, but [Author ID1: at Wed Nov 18 01:34:00 2020 ]I think the [Author ID1: at Wed Nov 18 01:35:00 2020  ]that’s what the[Author ID1: at Wed Nov 18 01:35:00 2020 ] [Author ID1: at Wed Nov 18 01:35:00 2020 ]amount of gold and [Author ID1: at Wed Nov 18 01:35:00 2020  ]un[Author ID1: at Wed Nov 18 01:35:00 2020 ]sold at the end of the quarter -- previous quarter. So that's just something that will [Author ID1: at Wed Nov 18 01:35:00 2020  ]w[Author ID1: at Wed Nov 18 01:35:00 2020 ]e’[Author ID1: at Wed Nov 18 01:35:00 2020 ]ll [Author ID1: at Wed Nov 18 01:35:00 2020 ]pick up in the next quarter.
Varun Arora: All right. Thank you. On the cost front, I believe you're seeing some unit cost savings as a result of commissioning. Could you comment a bit on that? And what would be your guidance going ahead? Do you expect more cost savings on the unit cost front?
John Lewins: Yes.[Author ID1: at Wed Nov 18 01:35:00 2020 ],[Author ID1: at Wed Nov 18 01:35:00 2020  ] look[Author ID1: at Wed Nov 18 01:35:00 2020  ]L[Author ID1: at Wed Nov 18 01:35:00 2020 ]ook[Author ID1: at Wed Nov 18 01:35:00 2020 ], we certainly anticipate seeing continuing savings or reductions in our unit cost as we complete the ramp up on [Author ID1: at Wed Nov 18 01:36:00 2020  ]from[Author ID1: at Wed Nov 18 01:36:00 2020 ] [Author ID1: at Wed Nov 18 01:36:00 2020 ]underground. We basically commissioned the plant and as that flagged, the plant, in fact, has shown that it can, in fact, potentially do more than 1,100 tonnes per day. [Author ID1: at Wed Nov 18 01:36:00 2020  ][Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 01:36:00 2020 ] Underground, we've said it would really take it until the end of this quarter to get the production ramped up for the 1,100 tonnes a day. But we still got a little way to go in terms of the underground,[Author ID1: at Wed Nov 18 01:37:00 2020 ].[Author ID1: at Wed Nov 18 01:37:00 2020  ] But [Author ID1: at Wed Nov 18 01:37:00 2020  ]b[Author ID1: at Wed Nov 18 01:37:00 2020 ]ut [Author ID1: at Wed Nov 18 01:37:00 2020 ]it's fast approaching that 1,100 tonnes a day. And certainly,[Author ID1: at Wed Nov 18 01:37:00 2020 ] we would anticipate that,[Author ID1: at Wed Nov 18 01:37:00 2020 ] that will continue to drive down the unit costs.[Author ID1: at Wed Nov 18 01:37:00 2020 ] and [Author ID1: at Wed Nov 18 01:37:00 2020  ]As you’d [Author ID1: at Wed Nov 18 01:37:00 2020 ]should [Author ID1: at Wed Nov 18 01:37:00 2020  ]be aware,[Author ID1: at Wed Nov 18 01:37:00 2020 ] your[Author ID1: at Wed Nov 18 01:37:00 2020 ] - [Author ID1: at Wed Nov 18 01:37:00 2020 ]of [Author ID1: at Wed Nov 18 01:38:00 2020  ]probably[Author ID1: at Wed Nov 18 01:38:00 2020 ] [Author ID1: at Wed Nov 18 01:38:00 2020 ]y[Author ID1: at Wed Nov 18 01:38:00 2020  ]our single biggest cost is labor and extra [Author ID1: at Wed Nov 18 01:38:00 2020  ]expat[Author ID1: at Wed Nov 18 01:38:00 2020 ] [Author ID1: at Wed Nov 18 01:38:00 2020 ]labor actually forms the major cost center, doubling throughput basically at less than 10% to your extra [Author ID1: at Wed Nov 18 01:38:00 2020  ]expat[Author ID1: at Wed Nov 18 01:38:00 2020 ] [Author ID1: at Wed Nov 18 01:38:00 2020 ]labor and probably about 30% to[Author ID1: at Wed Nov 18 01:38:00 2020 ] your other labor.[Author ID1: at Wed Nov 18 01:39:00 2020 ][indiscernible]. [Author ID1: at Wed Nov 18 01:39:00 2020  ][Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 01:39:00 2020 ] So it's not a doubling of the labor anywhere near it[Author ID1: at Wed Nov 18 01:39:00 2020  ]. Same thing with power, which is one of the other major costs[Author ID1: at Wed Nov 18 01:40:00 2020 ] doubling through,[Author ID1: at Wed Nov 18 01:40:00 2020 ].[Author ID1: at Wed Nov 18 01:40:00 2020  ] but [Author ID1: at Wed Nov 18 01:40:00 2020 ]I[Author ID1: at Wed Nov 18 01:40:00 2020  ]i[Author ID1: at Wed Nov 18 01:40:00 2020 ]t doesn't double your -[Author ID1: at Wed Nov 18 01:40:00 2020 ]-[Author ID1: at Wed Nov 18 01:42:00 2020 ] [Author ID1: at Wed Nov 18 01:40:00 2020 ]the power cost. And then, of course, underground long hole stoping is ramping up. It's still not what we would [Author ID1: at Wed Nov 18 01:41:00 2020 ]call the stable point,[Author ID1: at Wed Nov 18 01:41:00 2020 ] because we're still opening up vertically underground. So we -- as we move to more and more production coming out of long hole stopes and ultimately,[Author ID1: at Wed Nov 18 01:41:00 2020 ] I think,[Author ID1: at Wed Nov 18 01:41:00 2020 ] we're looking at about 60% long hole stopes. And that, again, will drive down the cost.
Varun Arora: Right. And what's the current breakdown between long hole versus cut and fill?
John Lewins: It does vary.[Author ID1: at Wed Nov 18 01:42:00 2020 ],[Author ID1: at Wed Nov 18 01:42:00 2020  ] but [Author ID1: at Wed Nov 18 01:42:00 2020  ]B[Author ID1: at Wed Nov 18 01:42:00 2020 ]ut [Author ID1: at Wed Nov 18 01:42:00 2020 ]I would say that from -- probably around 70% plus is now [Author ID1: at Wed Nov 18 01:42:00 2020 ]long hole stopes.
Varun Arora: 70% long hole? Okay, great. Thank you.
John Lewins: As opposed to cut and fill, obviously you get some production from developing along the main vein systems and opening up the stopes.
Varun Arora: Right, right. And just last question,[Author ID1: at Wed Nov 18 01:43:00 2020 ].[Author ID1: at Wed Nov 18 01:43:00 2020  ] W[Author ID1: at Wed Nov 18 01:43:00 2020  ]w[Author ID1: at Wed Nov 18 01:43:00 2020 ]hat would be your guidance for the grade in Q4?
John Lewins: Grade in Q4, I would anticipate that,[Author ID1: at Wed Nov 18 01:43:00 2020 ] --[Author ID1: at Wed Nov 18 01:43:00 2020  ] I think we'll [Author ID1: at Wed Nov 18 01:44:00 2020  ]will[Author ID1: at Wed Nov 18 01:44:00 2020 ] [Author ID1: at Wed Nov 18 01:44:00 2020 ]be around the 12 to 15 grams per tonne[Author ID1: at Wed Nov 18 01:44:00 2020 ].
Varun Arora: Okay, great. Thanks, John. Thanks for taking my questions. That's all from my side.
John Lewins: No problem. Thanks, Varun.
Operator: Our next question comes from Geordie Mark of Haywood Securities. Please go ahead.
Geordie Mark: Hey, good morning -- good evening, John. Thanks for hosting [Author ID1: at Wed Nov 18 01:45:00 2020 ]the call today. Yes, just an extension [ph][Author ID1: at Wed Nov 18 01:45:00 2020  ] from the early questions there[Author ID1: at Wed Nov 18 01:45:00 2020 ]. On mining, saying ultimately,[Author ID1: at Wed Nov 18 01:45:00 2020 ] -- [Author ID1: at Wed Nov 18 01:45:00 2020  ]obviously, you're doing pretty well to get up to your 1,100 tonnes a day, right. [Author ID1: at Wed Nov 18 01:45:00 2020  ]?[Author ID1: at Wed Nov 18 01:45:00 2020 ] [Author ID1: at Wed Nov 18 01:45:00 2020 ]what [Author ID1: at Wed Nov 18 01:45:00 2020  ]W[Author ID1: at Wed Nov 18 01:45:00 2020 ]hat [Author ID1: at Wed Nov 18 01:45:00 2020 ]do you think prevailing sort of capacity is? Is there and I guess that’s an interplay between mine design and stopes that you’ve[Author ID1: at Wed Nov 18 01:46:00 2020 ] got going forward. [Author ID1: at Wed Nov 18 01:46:00 2020  ]?[Author ID1: at Wed Nov 18 01:46:00 2020 ] [Author ID1: at Wed Nov 18 01:46:00 2020 ]And ultimately, when you're looking at long-hole stoping at the moment [ph][Author ID1: at Wed Nov 18 01:46:00 2020  ], can you just [Author ID1: at Wed Nov 18 01:46:00 2020  ]give us [Author ID1: at Wed Nov 18 01:46:00 2020 ]an idea of the dilution factor that you're incorporating there?[Author ID1: at Wed Nov 18 01:47:00 2020 ] and [Author ID1: at Wed Nov 18 01:47:00 2020  ]A[Author ID1: at Wed Nov 18 01:47:00 2020 ]nd [Author ID1: at Wed Nov 18 01:47:00 2020 ]what you think[Author ID1: at Wed Nov 18 01:47:00 2020  ]anything[Author ID1: at Wed Nov 18 01:47:00 2020 ] that we can garner from how you're executing at the moment long-hole[Author ID1: at Wed Nov 18 01:47:00 2020  ]on that[Author ID1: at Wed Nov 18 01:47:00 2020 ]?
John Lewins: Okay. Well, let's say,[Author ID1: at Wed Nov 18 01:47:00 2020 ] the capacity of Stage 2 at 1,100 tonnes a day or 400,000 per annum is [Author ID1: at Wed Nov 18 01:48:00 2020  ]was[Author ID1: at Wed Nov 18 01:48:00 2020 ] [Author ID1: at Wed Nov 18 01:48:00 2020 ]actually based on the plant. And that was the existing mill, which is 900 [Author ID1: at Wed Nov 18 01:48:00 2020  ]900[Author ID1: at Wed Nov 18 01:48:00 2020 ]-[Author ID1: at Wed Nov 18 01:48:00 2020 ]kilowatt mill. All the work that we did and there are consultants and the actual, [Author ID1: at Wed Nov 18 01:48:00 2020 ][indiscernible][Author ID1: at Wed Nov 18 01:49:00 2020  ]Outokumpu[Author ID1: at Wed Nov 18 01:49:00 2020 ] who [Author ID1: at Wed Nov 18 01:49:00 2020 ]supply to mill, all the works[Author ID1: at Wed Nov 18 01:50:00 2020  ] said, [Author ID1: at Wed Nov 18 01:50:00 2020 ]at [Author ID1: at Wed Nov 18 01:50:00 2020  ]the mill itself could do 1,100 tonnes a day. That's the existing mill. [Author ID1: at Wed Nov 18 01:50:00 2020  ][Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 01:50:00 2020 ] And what we needed to do was increase crusher capacity by putting in a bigger cone crusher, increase flotation capacity, pumps, pipes and some other upgrades, such as the process control system, et cetera, et cetera. And so to go beyond that 400,000 tonnes would involve a new mill. And obviously,[Author ID1: at Wed Nov 18 01:51:00 2020 ] the costs would go up dramatically if that's what you wanted to do.[Author ID1: at Wed Nov 18 01:51:00 2020  ] A[Author ID1: at Wed Nov 18 01:51:00 2020  ]a[Author ID1: at Wed Nov 18 01:51:00 2020 ]nd, of course, its [Author ID1: at Wed Nov 18 01:51:00 2020  ]impact on production, et cetera,[Author ID1: at Wed Nov 18 01:51:00 2020 ] et cetera. So that was the driver that what you [Author ID1: at Wed Nov 18 01:51:00 2020  ]really [Author ID1: at Wed Nov 18 01:51:00 2020 ]said, so we're looking at 400,000 tonnes per annum, 1,100 tonnes a day. [Author ID1: at Wed Nov 18 01:52:00 2020  ][Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 01:52:00 2020 ] From the perspective of underground, certainly you could do significantly more than that. And obviously the Stage 3 has shown that with the resource as it currently stands, the PEA [ph][Author ID1: at Wed Nov 18 01:53:00 2020  ]there[Author ID1: at Wed Nov 18 01:53:00 2020 ] said you can do 1 million tonnes per annum. So with continuing to open up and importantly,[Author ID1: at Wed Nov 18 01:54:00 2020 ] a -- [Author ID1: at Wed Nov 18 01:54:00 2020  ]twin[Author ID1: at Wed Nov 18 01:54:00 2020 ] [Author ID1: at Wed Nov 18 01:54:00 2020 ]to an [Author ID1: at Wed Nov 18 01:54:00 2020  ]incline,[Author ID1: at Wed Nov 18 01:54:00 2020 ] you can get to a [Author ID1: at Wed Nov 18 01:54:00 2020  ]1[Author ID1: at Wed Nov 18 01:54:00 2020 ] [Author ID1: at Wed Nov 18 01:54:00 2020 ]million, probably significantly more than a [Author ID1: at Wed Nov 18 01:54:00 2020  ]1[Author ID1: at Wed Nov 18 01:54:00 2020 ] [Author ID1: at Wed Nov 18 01:54:00 2020 ]million tonnes per annum. [Author ID1: at Wed Nov 18 01:54:00 2020  ][Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 01:54:00 2020 ] So underground with the existing incline, I would certainly say,[Author ID1: at Wed Nov 18 01:54:00 2020 ] we would be comfortable saying we could get to 500,000 tonnes per annum. We are moving currently a lot of waste as well. So we are actually moving more waste than mineralized material. I haven't got a study so we don't have any ore. We just have this mineralized material that makes us lots of money. So we can certainly move material, we[Author ID1: at Wed Nov 18 01:55:00 2020 ] -- [Author ID1: at Wed Nov 18 01:55:00 2020  ]couldn’t [Author ID1: at Wed Nov 18 01:55:00 2020 ]move a [Author ID1: at Wed Nov 18 01:56:00 2020  ]1[Author ID1: at Wed Nov 18 01:56:00 2020 ] [Author ID1: at Wed Nov 18 01:56:00 2020 ]million tonnes, not with the existing incline and should be aware one of the things that we have done is committed to that to an incline.[Author ID1: at Wed Nov 18 01:56:00 2020 ] and[Author ID1: at Wed Nov 18 01:56:00 2020  ]A[Author ID1: at Wed Nov 18 01:56:00 2020 ]nd[Author ID1: at Wed Nov 18 01:56:00 2020 ],[Author ID1: at Wed Nov 18 01:56:00 2020 ] in fact,[Author ID1: at Wed Nov 18 01:56:00 2020 ] the -- to an [Author ID1: at Wed Nov 18 01:56:00 2020  ]twin [Author ID1: at Wed Nov 18 01:56:00 2020 ]incline now,[Author ID1: at Wed Nov 18 01:56:00 2020 ] I think,[Author ID1: at Wed Nov 18 01:56:00 2020 ] the 6x6 would [Author ID1: at Wed Nov 18 01:56:00 2020  ]will[Author ID1: at Wed Nov 18 01:56:00 2020 ] [Author ID1: at Wed Nov 18 01:56:00 2020 ]be pushing about 100 meters in and 5x5 probably around 70 meters. And so they're progressing fairly well. [Author ID1: at Wed Nov 18 01:57:00 2020  ][Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 01:57:00 2020 ] The important thing in the expansion or expanding underground production is opening up levels.[Author ID1: at Wed Nov 18 01:57:00 2020 ],[Author ID1: at Wed Nov 18 01:57:00 2020  ] and [Author ID1: at Wed Nov 18 01:57:00 2020  ]A[Author ID1: at Wed Nov 18 01:57:00 2020 ]nd [Author ID1: at Wed Nov 18 01:57:00 2020 ]so I was underground last week on site,[Author ID1: at Wed Nov 18 01:57:00 2020 ].[Author ID1: at Wed Nov 18 01:57:00 2020  ] Longest [Author ID1: at Wed Nov 18 01:57:00 2020  ]l[Author ID1: at Wed Nov 18 01:57:00 2020 ]ongest [Author ID1: at Wed Nov 18 01:57:00 2020 ]trip I've had underground, because there's just so much more to see. So you've got 11 to [Author ID1: at Wed Nov 18 01:58:00 2020  ]– we’ll [Author ID1: at Wed Nov 18 01:58:00 2020 ]be done[Author ID1: at Wed Nov 18 01:58:00 2020  ]down[Author ID1: at Wed Nov 18 01:58:00 2020 ], 1,[Author ID1: at Wed Nov 18 01:58:00 2020 ]1.[Author ID1: at Wed Nov 18 01:58:00 2020  ]50, 1,[Author ID1: at Wed Nov 18 01:58:00 2020 ]1.[Author ID1: at Wed Nov 18 01:58:00 2020  ]70, 1,[Author ID1: at Wed Nov 18 01:59:00 2020 ]1.[Author ID1: at Wed Nov 18 01:59:00 2020  ]85, 1,[Author ID1: at Wed Nov 18 01:59:00 2020 ]2.[Author ID1: at Wed Nov 18 01:59:00 2020  ]05, 1,[Author ID1: at Wed Nov 18 01:59:00 2020 ]2.[Author ID1: at Wed Nov 18 01:59:00 2020  ]25, 1,[Author ID1: at Wed Nov 18 01:59:00 2020 ]2.[Author ID1: at Wed Nov 18 01:59:00 2020  ]45, and then incline going up to 1,[Author ID1: at Wed Nov 18 01:59:00 2020 ]2.[Author ID1: at Wed Nov 18 01:59:00 2020  ]65 and the decline going down to 1,[Author ID1: at Wed Nov 18 01:59:00 2020 ]1.[Author ID1: at Wed Nov 18 01:59:00 2020  ]30. So -- and up to 600 meters of striking [Author ID1: at Wed Nov 18 01:59:00 2020  ]straggling[Author ID1: at Wed Nov 18 01:59:00 2020 ] [Author ID1: at Wed Nov 18 01:59:00 2020 ]a long strike as well. [Author ID1: at Wed Nov 18 01:59:00 2020  ][Author ID1: at Wed Nov 18 01:59:00 2020 ] [Author ID1: at Wed Nov 18 02:00:00 2020 ] So we've got multiple levels open and we've also got Judd, which is sitting at 1,[Author ID1: at Wed Nov 18 02:00:00 2020 ]2.[Author ID1: at Wed Nov 18 02:00:00 2020  ]35, which is as we mentioned, the ventilation development. But it is actually producing oil. So ramping up that production is about opening up those levels and then stope [ph][Author ID1: at Wed Nov 18 02:00:00 2020  ] production from it. [Author ID1: at Wed Nov 18 02:00:00 2020  ][Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 02:00:00 2020 ] So realistically, I think,[Author ID1: at Wed Nov 18 02:00:00 2020 ] until we get between incline and you could probably push the 500,000 tonnes, whether or not the plant can do that on a sustained basis, that would be something that we are still really to look at. And this is still early days of having done that expansion. You’re [Author ID1: at Wed Nov 18 02:01:00 2020  ]It’s[Author ID1: at Wed Nov 18 02:01:00 2020 ] [Author ID1: at Wed Nov 18 02:01:00 2020 ]still in that optimizing phase and then you start moving into your debottlenecking and seeing what you can actually get out of what you've done. Did that answer all your questions, Geordie, or is there something else that I [Author ID1: at Wed Nov 18 02:02:00 2020 ]you [Author ID1: at Wed Nov 18 02:02:00 2020  ]need to [indiscernible][Author ID1: at Wed Nov 18 02:02:00 2020  ]?
Geordie Mark: Speaking on that sort of the dilution factor, is that your [multiple speakers].
John Lewins: Oh, dilution, yes. Look, I'd say that generally long hole stoping was -- probably less dilution than we anticipated. So we certainly get less dilution from our stopes and we do actually from our development. So I think we're running at 15%, 20% dilution.
Geordie Mark: Okay, great. Thanks. I’ve got [indiscernible]. Thanks.
John Lewins: Okay. Thanks for that Geordie.
Operator: Our next question comes from Chris Thompson of PI Financial. Please go ahead.
Chris Thompson: Hi, there. Congratulations on a good quarter. Understand, obviously, you've been engaged in a lot of areas, a lot of things. Just a quick question on the just back to the unit costs. Could you quantify exactly what you anticipate the unit cost to be on a per tonne mill basis, obviously, when you reach your desired throughput rate?
John Lewins: I can't give you the detail right now off the top of my head. We are -- we have from the study and from our current budget that we are doing for next year, overall the -- overall average cost is around 150. It hasn't really changed that much. But we haven't finished our budgeting process for next year, and when I finish the budgeting process, I mean, that's something that will then allow us to give our guidance for actual production for next year. It's been delayed somewhat because of COVID and all the rest of it which is handicapped as a little bit. I’ve actually just returned from PNG [ph] from site and [indiscernible] where we actually went through a budget. So we're just finalizing them hopefully as we speak, but it will be in that order, Chris.
Chris Thompson: Okay. Thanks a lot, John. That's great. Just one more quick question. Obviously, you said you lowered the grade for obvious reasons. If you got a sense of what sort of grade you'd be looking at to provide -- at the optimum sort of recoveries you'd be looking for on a forward going basis?
John Lewins: Well, if you look at certainly the studies that we've done all indicate that you're looking around sort of 10 to 12 grams per tonne up to 14, 15 in certain times. And that is the sort of grade that we would be looking for next year. I think this year it's pretty much the grades that we're looking for. We've done a little bit higher than that in part because the long hole stopes have come out cleaner than we anticipated. And of course, the other one is that positive reconciliation that we've historically had has continued all of this year. So we've all seen a positive reconciliation. But simplistically, if you look at 400,000 tonnes at 94% recovery or thereabouts, if you're running 10-grams per tonne at 400,000 or 10.5, then you're running for 400,000, and so you’re running about a -- sorry 400,000 running about 135 ounces. So 10 to 12 basically get you 120,000 to 140,000, 150,000 ounces and that is the sort of figure at 400,000 tonne per annum that we projected we would be able to produce. So over the medium term that's a sort of grade you’re expecting to be producing.
Chris Thompson: Great. Thank you for that, John, and yes, congratulations again.
John Lewins: Well, thanks, Chris. It's -- yes, it's sometimes things are [indiscernible].
Operator: Our next question comes from Andrew Mikitchook of BMO Capital Markets. Please go ahead.
Andrew Mikitchook: Yes. Hi, John. Congratulations on a strong quarter. Lots of questions have already been asked. Maybe I can just take us away from this quarter to looking forward, what kind of flexibility do you guys have to adapt the mine plan to the types to take advantage of anything you guys see at Judd and Karempe? It's not far from underground workings and obviously to some degree greatest [indiscernible], so are you able to fairly quickly pivot? Could we see an impact, if you saw some sort of high grade[Author ID1: at Wed Nov 18 02:22:00 2020  ]high-grade[Author ID1: at Wed Nov 18 02:22:00 2020 ] shoots as early as next year?
John Lewins: Okay. Look, Karempe is a long way off, 40 meters away, and it's only got a few holes in it. So it's reasonably far away from infrastructure. So setting up something, there would be a relatively longer term. Judd, obviously, we're mining three Judd right now and to make the point that we've known that Judd has grade. We've always known it had grade, it has some historical building in it, but our focus has been on Kora because we knew it had great and had continuity and it had a resource in it where Judd did not. [Author ID1: at Wed Nov 18 02:23:00 2020  ][Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 02:23:00 2020 ] And so almost all of our work has been focused on Kora and developing that resource so that we could drill into Stage 2 and then Stage 3. Guys on site quite frequently are pushing to do more drilling on Judd, but from our perspective, we've been driven by wanting to get into Phase 2 and then going to get into Phase 3. And you're developing, you're opening up and so the degree of flexibility we've had in some ways has been limited because we're moving at a pretty rapid, rapid pace. [Author ID1: at Wed Nov 18 02:23:00 2020  ][Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 02:23:00 2020 ] So as a result, we haven't drilled Kora and the guys actually on site came up with the idea that, look, okay, so we get -- that we've got to focus these drills turtles on Kora because we've got a feasibility study to finish, we need to increase the [indiscernible] and we're actually expanding the [indiscernible] as well. We need to put a [indiscernible] development in. What about if we put it along Judd, because we've actually gone through it and we know at sitting here and we were just going to go out [indiscernible]. [Author ID1: at Wed Nov 18 02:23:00 2020  ][Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 02:23:00 2020 ] So how about if we develop along it'll give us a lot of information on grade continuity and it'll be [indiscernible] and so that's what we did. And that's actually forced us to do some drilling in Judd because we got such good results out of it. And certainly because you're right there, you have an ability to very quickly open up, Judd, if you wanted to. And if there were higher grades there that -- higher grade shoots, which certainly that's something you should be doing. [Author ID1: at Wed Nov 18 02:23:00 2020  ][Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 02:23:00 2020 ] I think the important thing to remember is still relatively early days in Judd. And if you think about it, Kora, we drilled the first hole May 2017. We take the first box [ph] sample out in September, October 2017, and we've basically taken 2.5 years say to get the resource add to the existing Kora resource, which is 1.6 million ounces at 3.2 million ounces. So if you're looking for an impact in your -- from Judd and you want to add, as some people suggest, 3 million ounces, that'll take us quite some time to drill that if the continuity is there and we don't know because we haven't [indiscernible] drilling. So I'm not sure that Judd is going to have an enormous impact on Stage 3.[Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 02:23:00 2020 ]  [Author ID1: at Wed Nov 18 02:23:00 2020  ]But Stage 3 is we're going to start effectively, we started it because we started between incline. But in terms of our committing to a plant to whatever [indiscernible] probably 12 months away or thereabout. And by that time, we may have a bit more information [indiscernible] have to live for even more information coming up. Long winded answer, short of it is we are going to continue drilling Judd, it will start generating information. If there are areas there that could offer us a good return, then we could relatively quickly open those up certainly over the next 12 months and be able to bring those to account. And in fact, as I mentioned earlier, we will be bringing that results on the bulk sample that we put through Judd. But we have also been blending Judd into to our Kora material and quite frankly [indiscernible].
Andrew Mikitchook: Okay. Thank you very much.
John Lewins: I didn’t know if I answer your question, Andrew.
Andrew Mikitchook: Yes, that’s terrific. Thank you very much for taking us through that and I will stay back and [indiscernible] other people have questions.
John Lewins: Thanks, Andrew.
Operator: Our next question is a follow-up from Geordie Mark of Haywood Securities. Please go ahead.
Geordie Mark: Thank [indiscernible]. And this is an extension of just Andrew's question on Judd, obviously, very successful so far. In terms of -- in reference to, I guess, Stage 3 expansion or Stage 3 plus, given the amount of drilling, I guess you would need to complete as you indicated on Judd to a substantial level given the ramp up in drilling and technical requirements, I guess, would you be looking to integrate that into a subsequent [indiscernible] expansion to 1.4 potentially include Kora [indiscernible]. To just to give an idea of what potentials are sort of Stage 4 could be here?
John Lewins: Okay. Well, first of all, Stage 3, I think [indiscernible] million tonnes per annum. We also flagged as part of that that in the PA we had run a cut off rate on the mining side of around 5 gram -- to [indiscernible] grams per ton. And that had actually meant that we had about 4 million tonnes -- 4-gram per tonne that was actually not being brought to [indiscernible] much of it would be sterilized if you had some mine in that manner. And the reason that we use that cut off was that optimize your NPV5 after tax. And so it is about optimizing NPV5 if you want to optimize production [indiscernible] then you would run at the economic cut off[Author ID1: at Wed Nov 18 02:22:00 2020  ]cutoff[Author ID1: at Wed Nov 18 02:22:00 2020 ] grade, which is actually below 3 grams per ton. [Author ID1: at Wed Nov 18 02:23:00 2020  ][Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 02:23:00 2020 ] So what we said was in the feasibility study, we will actually be looking to bring those extra tonnes and ounces to account. And simplistically, if you look at it, 1 million tonnes per annum was averaging, I think, 318,000 ounces gold equivalent per year. But there was another 4 million tonnes at 4 gram per tonne that was not treated, that would just happened to have a plant to 400,000 tonnes per annum capacity, which just nicely fits in with a 10-year life of treating additional material, which could have another 40,000, 50,000 ounces to your production. 400,000 tonnes per annum at 4-gram per tonne [indiscernible]. [Author ID1: at Wed Nov 18 02:23:00 2020  ][Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 02:23:00 2020 ] So there is an immediate potential from Kora alone and in fact, you could run at 1.4 or 1.5 million tonnes per annum. And that is something that we are definitely looking at in the feasibility study. Whether you then say, well, actually, maybe the plant, the new plant should rather be 1.5 million tonnes per annum and that plant for other potentials, such as Karempe, such as Judd, Maniape, Arakompa that's part of what we are looking at in the study. So we're not wedded to 1 million tonnes per annum for Stage 3. In fact, almost [indiscernible] definitely will not be 1 million tonnes per annum. It will be 1.4, 1.5 which may be entirely a new plant or maybe a combination of the new plant and the existing plant. [Author ID1: at Wed Nov 18 02:23:00 2020  ][Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 02:23:00 2020 ] And we'll continue over the next 12 months with our additional rigs to be drilling Kora site, continuing to push to the side we are continuing to take that development further and further [indiscernible] into our exploration grant. Looking at some deeper holes from underground as well, and also drilling Judd from underground and also from surface of Judd and Kora. Continuing to drill Karempe as well. So all that's going to be happening over the next 12 months plus, of course, we're drilling at Blue Lake [indiscernible] as well. And to [indiscernible] more exploration boys every rig that they want, we will also be drilling at Maniape and Arakompa and [indiscernible] like to be drilling as well, exploration [indiscernible] it's what defines them. How many drill weeks you’ve got versus how many drill weeks I’ve got. And there's no two ways about it. They can justify having more rich.
Geordie Mark: Okay. That’s good to know on that. So the cut off for the feasibility still [indiscernible] at mid 2021 based on that potential expansion?
John Lewins: Look, feasibility, certainly because of where we are looking at now with Judd and various other things, it will be the second half of 2021.
Geordie Mark: Okay.
John Lewins: We've already taken the rigs off of drilling Kora to drill, Judd or two of the rigs anyway off the drill. This is Judd and I anticipate that we'll continue drilling that because although to get 3 million ounces is definitely long procedure. There is an area that you can focus on that very quickly. You could certainly bring a 12-month period 1 million ounces [indiscernible] of course, they're not there. I'm not -- I [indiscernible] final. So one thing we haven't been able to figure out yet how to make exploration drilling actually generate [indiscernible]. It's only really good for finding them.
Geordie Mark: Okay. Great, thanks. I appreciate it.
John Lewins: Thanks, Geordie.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Lewins for any closing remarks.
John Lewins: Well, thank you for that. Look, for us, this has been a challenging period. I mean, this is COVID-19, which we currently operate with quarantine for all of our people coming to the site. I was on site, week on quarantine before I could go out into the workforce. I'm back in Perth now and I'm sitting in a hotel in Perth and I'm quarantining here for 2 weeks. All my wife can do is drop me off some supplies and whatever else. This is a challenging time. It's a challenging time for many people. [Author ID1: at Wed Nov 18 02:22:00 2020  ][Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 02:22:00 2020 ] I'm actually in all of our team on site and what they've achieved. I went to site and it's the longest I've ever not been to site not being to [indiscernible] 6 months and the change was stunning. From going to the camp, we took the place over with 400, it's not a 1,000 man camp. Going up to the warehouse, the warehouse is now being tripled in size. It's now got a concrete cement batch plant that can do five cubic meters in five minutes. [Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 02:22:00 2020 ] We're short creating underground that plant to be big enough to actually do a million tonnes per annum expansion as well. And obviously seeing new process plant operating, so these guys and all of that has been done without anyone coming in from outside, from overseas to assist. It's all been put together by our own people or in case the camp by local suppliers and contractors. And then, of course, you get up to the portal to an incline, still [indiscernible] in 6x6 to 5x5. Looking at it going in all the walls and the backs shot created looks absolutely beautiful. Guys are doing an incredible job there, brought in the additional equipment to be able to do it. We've set up remote control of the LHD of the 517I, all of that as well. All of that done in the last six months, all of that done in the middle of COVID. [Author ID1: at Wed Nov 18 02:22:00 2020  ][Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 02:22:00 2020 ] So it's really been an exciting period and there's an exciting period coming forward. David loves to use transformative. And the problem with the word is that we keep having transformative periods and we have to keep using the word. We haven't come up with a better word because every culture is transformative for us. I like to think that we've delivered on so many areas. We are really excited by Judd, Karempe. We got more results coming out for Kora in the next couple of weeks. And there's some usual story with Kora. There's always some good results that come out from there. We are back at Blue Lake as well again and so exciting there. And Blue Lake now being [indiscernible] with their own surface rigs. [Author ID1: at Wed Nov 18 02:22:00 2020  ][Author ID0: at Thu Nov 30 00:00:00 1899 ] [Author ID1: at Wed Nov 18 02:22:00 2020 ] So we've now got two of our own surface rigs as well as three of our underground rigs, both of our own underground rig coming in this week -- our on underground rigs coming in first quarter. So very much driven by our people and that is our greatest strength is the team of people that we've been able to put together. And at the same time as all that's happening, coming up with a safety record, which is indeed second to none. So we're looking forward to this quarter, we're looking forward to next year and all the potential that has and really appreciate the interest and the opportunity to share that with you, [indiscernible] enough pontificating. So thank you all for your time today, this evening, this morning, wherever you are. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thanks for participating and have a pleasant day.